Operator: Good morning. My name is Deshonda and I will be your conference operator today. At this time, I would like to welcome everyone to the Rite Aid fourth quarter conference call. (Operator Instructions) Mr. Twomey, you may begin your conference. 
Kevin Twomey: Thank you, Deshonda, and good morning, everyone. We welcome you to our fourth quarter conference call which was scheduled two hours earlier than our previous conference calls. Future conference calls will also begin at 8:30. In case you are not aware of it, we post the dates and times of our announcements on our website months in advance of the announcements. Mary Sammons, our President and CEO, and Jim Mastrian, our Chief Operating Officer, are also on the call with me. Our agenda for today’s call is busy and it will be as follows: Mary will give an overview of our fourth quarter and a brief update on our expected timing for the Brooks Eckerd acquisition closing and our integration plans. I will then review the fourth quarter financial results and cover guidance, which includes the acquired Brooks Eckerd operations. Mary will then have a few summary closing comments, and then we will take questions. Before we start, I would like to remind you that today’s conference call includes certain forward-looking statements. These forward-looking statements are made in the context of certain risks and uncertainties that could cause actual results to differ. Also, we will be using a non-GAAP financial measure. The risks, uncertainties and definition of the non-GAAP financial measure, along with a reconciliation to the GAAP measure, are described in more detail in our SEC filings. With that in mind, let’s get started. Mary.  
Mary F. Sammons: Thanks, Kevin. Good morning, everybody, and thank you for joining us today. With our fourth quarter and year end results and the upcoming acquisition of Brooks Eckerd, we have a lot to talk about. We had a profitable fourth quarter and are pleased with the results. Despite a weak cold and flu season and some severe East Coast weather, we increased adjusted EBITDA by about 11% over the prior fourth quarter, which is almost a 21% increase if you exclude last year’s extra week from the comparison. We saw solid increases in both pharmacy sales and prescription count growth, just as we did in the previous three quarters, and our team again did a great job of controlling expenses, as they did all year. These improvements, along with increased dispensing of higher margin generic drugs, contributed to adjusted EBITDA of $201 million for the quarter and $696.9 million for the year. During the quarter, we moved closer to completing our acquisition of the approximately 1,850 stores and six distribution centers in the Brooks Eckerd chain. As you saw from this morning’s press release, we now expect the transaction to close by the end of May and have reached an agreement with the FTC staff to divest 24 stores, pending final approval by the FTC commission. We have finished a very detailed and extensive integration plan and are eager to get started. I will say more about our plan later in my remarks. Same-store sales for the fourth quarter increased 3%, with pharmacy sales up 4.1% and prescription count growing by 1.5%. Our increased pharmacy supervision, improved customer satisfaction scores, expanded managed care relationships, tactical and strategic marketing initiatives, and emphasis on health and wellness programs all contributed to the increases as they did throughout the year. We also continued to successfully target senior customers with enrolment in our Living More senior loyalty program, climbing to more than 2.5 million members -- members who spend twice as much at Rite Aid pharmacies than our other senior customers. Generic once again contributed to improving our pharmacy margin rate, as we continued to lead the industry with a generic dispense rate of 63.8% for the quarter, reaching 64% at the end of the year. We expect the new generic wave to continue, with as much as another $10 billion of branded drugs set to come off patent in 2007. But we also expect the overall generic opportunity to be tempered by the withdrawal of several significant generics currently on the market. As for the front-end, same-store sales increased 1.2% for the quarter, negatively impacted by the severe snow storms that played havoc with Valentine’s Day sales on the entire east coast. OTC was solid even with weak cough, cold and flu. Consumables had strong gains and vitamins, especially our GNC departments, finished with their strongest performance of the year. We will continue to add more GNC departments to our stores where appropriate, including in select stores we acquire. Private brand growth was excellent during the quarter, leading to an all-time high of 12.6% of front-end sales for the year. Our goal for next year is to add more than 200 new SKUs and we expect Rite Aid Private brand to help drive the front-end productivity of the Brooks Eckerd stores. Our photo trends continue to be negative but the stores that have received our new equipment are out-performing the total group. We should see sales and margins start to improve as we complete the rollout of new equipment that will give our stores the ability to handle more digital services, increase efficiency and lower costs. As I said at the start of the call, our team did a great job of controlling expenses during the quarter, including labor, despite minimum wage increases in 10 states. We will continue our focus on managing expenses in this fiscal year too through our ongoing spend management initiative. Our focus on operational execution is paying off, both on the bottom line and the shopping experience, as overall customer satisfaction scores once again improved over the year before. As for store growth, we finished the year with 108 new and relocated stores and are targeting opening another 125 new and relocated stores this fiscal year. Because of the acquisition, we are reviewing our store development plan beyond this year to take into account new geographic areas to make sure we invest in locations with the best return. During the quarter, we continued to look for acquisitions and file buys that made strategic sense, with last week’s announcement about our agreement to exchange Rite Aid stores in Nevada for long stores and file buys in Washington, Oregon and California a good example. While we did not meet our over prescription file buy goal this year, the good news is that our overall retention rate and return on investment is higher. Our acquisition team spent much of the fourth quarter filling the pipeline and we are confident this year will be a stronger one for file buys. I will now walk you through more details of our integration plan. As I said earlier, we have completed an extensive detailed plan and we are ready to go. We are using a phased approach designed to maintain continuity of the business throughout the process. We are almost finished with Phase One, which includes the store analysis and equipping Brooks Eckerd stores with new office computers and video satellite broadcast capability so we can communicate to the stores the day they become Rite Aid. We have also readied the Brooks Eckerd distribution centers so we can begin the conversion right after we close. Since January, we have held a number of meetings with Brooks Eckerd field management, as well as store managers and pharmacy managers, to acquaint them with Rite Aid. They are a great group of talented managers eager to begin the integration process and we are excited about having them join our talented field team. Phase Two will begin right after we close. First, we will convert the DC so they can handle the additional 8,000 SKUs that are part of the Rite Aid distribution center merchandise mix. At the same time, we will begin the full conversion of 23 pilot stores spread across five states, and representing a variety of Brooks Eckerd store footprints, and with different logistic constraints, such as small backrooms or no parking lot. This will give us the chance to test and perfect all phases of the conversion process, including replacing systems, remerchandising and redecorating and training so we can be sure the various phases work with as little disruption to customers and associates as possible. Once the pilot stores are approved, we will immediately start to roll out the systems conversion so all of our stores can be connected by one network. We will replace all store systems, including the pharmacy dispensing system and the POS system, and expect to have all systems conversions completed in about nine months. Store teams will go through extensive training beforehand and integration specialists will stay with the stores for at least a week post conversion to make sure the new systems are working smoothly. The actual physical system conversion in each store will take place overnight for as little disruption as possible. Customers will also start seeing new product in the acquired stores in Phase Two. Soon after close, they will begin to carry Rite Aid Private brand and will start rolling out new planograms, and to further improve the shopping experience, we will add labor to the stores, especially in the area of pharmacy technicians. Once systems are converted, a store will move into Phase Three for a full remerchandising package and new décor that says “I’m a Rite Aid”. At this stage, each store will receive elements of our new customer world store design, a full remerchandising and new Rite Aid exterior signage, a process we expect to take about two weeks per store. To minimize disruption to both customers and associates, we plan that only two stores will go through Phase Three conversion at any one time in any one district, so it could be several weeks between the systems conversion and remerchandising of a single store. Phases Two and Three are expected to be substantially completed about 16 months from close, as we will limit integration activities during the busy Thanksgiving and Christmas holiday season. It is important to note that we have extensive training programs in place for both Phase Two and Phase Three, and have designed detailed metrics to monitor our progress every step of the way. In Phase Four, which will take place over several years, we will remodel or relocate any store that needs more work to bring it up to standard. As we have said before, we plan to invest approximately $450 million in the store and DC conversions in Phase Two and Phase Three. Over the next several years, we expect to spend another $500 million to $600 million in store remodels and investments in our distribution network. As we have said before, there are many benefits to Rite Aid from this acquisition. Having 5,000 stores or more will strengthen our ability to take advantage of the considerable growth opportunities in our business, and with larger scale, we will be able to compete more effectively with our major rivals, as well as better withstand industry and other competitive challenges. We believe adding Brooks Eckerd to our chain significantly improves our growth and value proposition. Before I turn it over to Kevin who will give the details on our results and our guidance, I want to make several points. First, keep in mind that guidance for fiscal ’08 includes only nine months of the acquired operations and not a full 12 months, which was the time frame for the accretion, dilution and cost saving estimates we gave back in August. Secondly, we have increased the amount of synergies we expect to gain, as well as our estimated one-time integration costs. We know our competitors will try and take advantage of any possible business disruption and we are making sure the conversion process goes as smoothly as possible, including adding support for our remerchandising effort. Now I will turn it over to Kevin. 
Kevin Twomey: Thanks, Mary. Comparisons to the prior year’s fourth quarter are difficult, so before we begin our comparisons of this quarter’s results to our previous fourth quarter, I would like to point out four items to keep in mind to assist in the comparisons. First, last year’s fourth quarter included an extra week because the previous year was a 53-week year. The extra week in fiscal 2006 contributed approximately $345 million in revenues and approximately $15 million in adjusted EBITDA. Second, last year’s fourth quarter had a significant tax benefit of $1.231 billion, which represented $1.82 per diluted share. Third, last year’s fourth quarter selling, general and administrative expenses were reduced by the reversal of a $20 million accrual, or $0.01 per diluted share, that was related to the U.S. Attorney investigation into previous management’s business practices. Fourth and last, fiscal 2007’s fourth quarter included an $18.7 million charge, or $0.02 per diluted share, for the early redemption and refinancing of the 9.5% secured notes. After taking these items into consideration, an entirely different picture emerges for the quarter. Instead of a decrease in revenues, there was an increase on a 13-week to 13-week basis, and instead of a decrease in net income and earnings per diluted share, there was a pretty good increase in both net earnings and earnings per diluted share. So keep these in mind as I talk through the operating statement. Now let’s begin, starting with revenues. Revenues for this quarter were $4.56 billion compared to $4.77 billion last year. That was a decrease of $209 million, or a decrease of 4.4%. The decrease was because fiscal 2007’s fourth quarter had one less week than fiscal 2006’s fourth quarter. Fiscal 2007’s fourth quarter included 13 weeks, whereas last year’s fourth quarter included 14 weeks. As I said earlier, that extra week in last year’s fourth quarter represented approximately $345 million of revenues. If one were to reduce the prior year fourth quarter for that extra week, revenues for this quarter, on a 13-week to 13-week basis, increased $136 million, or 3.1%, which was driven primarily by a 3.0% increase in same-store sales. Fiscal 2007 ended the year with a store count of 3,333 stores, which is ten more than the store count at the end of fiscal 2006. Our new and relocated store program produced results. Pharmacy same-store sales increased 4.1%, which was driven primarily by a 1.5% increase in prescriptions. Please note we began to anniversary the inception of the Medicare Part D program in the fourth quarter and we experienced a slightly weaker cough, cold and flu season. However, our growth initiatives, such as our focus on customer satisfaction, the prescription file buy program Mary mentioned, marketing to Medicare patients, our senior loyalty card program, and the new and relocated store program continued to produce results. We expect prescriptions to continue to grow. Our mix of generic prescriptions continued to increase. During the fourth quarter, all generic prescriptions were 63.8% of total prescriptions, which was 401 basis points higher than last year’s fourth quarter. We expect this increasing trend to continue. New generics had a negative 460 basis point impact on pharmacy sales during the fourth quarter, which was higher than the third quarter’s 269 basis point impact on pharmacy sales. Front-end same-store sales increased 1.2%. The promotion activity of competitors around Christmas season and the weather around Valentine’s Day hurt us. Also, the photo category continued to be a negative contributor and we saw some weakness in the cough, cold and flu related categories. Lastly, even though we did not change our promotion program, our customers purchased more items that were on promotion in this year’s fourth quarter when compared to last year’s fourth quarter. We continue to believe our initiatives for improving customer satisfaction and our new and relocated store program, along with our consistent promotion program with a focus on health conditions, senior citizens and core categories will grow our front-end sales. Let’s turn to gross profit. Gross profit was $1.23 billion, or 26.90% of revenues for this quarter, versus $1.27 billion or 26.71% of revenues for last year. Gross profit dollars decreased due to the sales decrease I described earlier, caused by last year’s extra week, but the gross margin rate increased. The current quarter included a non-cash LIFO charge of $16.2 million versus $9.4 million in last year’s quarter. The LIFO charge increase was due primarily to the effect of higher product inflation. Excluding LIFO, this quarter’s gross margin rate was 27.25% of revenues, compared to 26.91% of revenues last year, an increase of 34 basis points. The 34 basis points increase in consolidated LIFO gross margin rate was entirely due to the increased contribution to the consolidated gross margin rate from pharmacy. That was primarily due to the increased contribution from generics and a favorable vendor dispute, partially offset by more prescriptions being filled at lower reimbursement rates. Front-end contribution to the consolidated gross margin rate was flat. Now let’s turn to selling, general and administrative expenses. Selling, general and administrative expenses for the quarter increased as a percent of revenues by 37 basis points compared to the prior year. The increase is primarily due to the fact that last year’s fourth quarter included a $20 million accrual reversal related to the conclusion of the U.S. Attorney investigation into prior management’s business practices. By excluding that accrual reversal from the prior year, SG&A as a percent of revenue between the years actually decreased five basis points. The improvement was the result of eight basis points of improvement from general and broad-based expense control and 13 basis points of improvement from a favorable insurance settlement related to Hurricane Katrina. These positive factors were partially offset by a 12 basis point increase in occupancy expense and a 14 basis point increase in depreciation and amortization expense from our new and relocated store program and the prescription file buy program. Continuing down the P&L, store closing and impairment charges were $17.2 million lower than last year’s charge. This was due to a decrease in store lease exit costs. We closed fewer stores in the current quarter compared to last year. The decrease was also due to a lower impairment charge in the current quarter. Fewer stores were included in the impairment calculation. Interest expense was $69.5 million for the quarter versus $71.7 million in last year’s quarter. The decrease was primarily due to one less week in the current quarter, partially offset by slightly higher interest rates and slightly higher borrowings. Cash interest expense was $65.3 million for this quarter versus $66.3 million last year, and non-cash interest expense was $4.2 million this year versus $5.4 million last year. Loss on debt modification retirements was $18.7 million for the current year’s fourth quarter compared to no charge in the prior year fourth quarter. The charge is related to our early redemption of the 9.5% secured notes, which we refinanced in late February of 2007 at 7.5%, lowering our cost of capital and lengthening our required maturity life. The gain on asset sales was $9.7 million in the current quarter versus $2.6 million in last year’s quarter. The increase is primarily due to the favorable Hurricane Katrina insurance settlement related to asset. Regarding income taxes, it was a benefit for both quarters. The current fourth quarter benefit was $14.9 million compared to last year’s fourth quarter income tax benefit of $1.2 billion. This year’s fourth quarter tax benefit reflected a state income tax valuation allowance adjustment and a favorable state tax refund development. The prior year large income tax benefit that has been previously disclosed was due to an income tax valuation allowance adjustment related to our deferred tax assets. From a cash income tax perspective, we are a state income taxpayer. The cash outflow for state income taxes is approximately 6% to 8% of pretax income. Net income for the quarter was $15.1 million, compared to net income of $1.246 billion last year. The decrease was primarily due to the $1.231 billion income tax benefit recorded in last year’s fourth quarter, which I have previously described. Income per diluted share was $0.01 for the current quarter, compared to income of $1.83 per diluted share for last year’s fourth quarter. After considering the current year’s fourth quarter charge for the early redemption of a 9.5% secured notes, which was $0.02 per diluted share, and after considering last year’s income tax benefit related to the valuation allowance adjustment and the accrual reversal related to the U.S. Attorney investigation, this year’s fourth quarter income per diluted share was $0.03 per share greater than last year’s income per diluted share. Each quarter’s diluted per share calculation, as you know, includes the declared preferred stock dividends. You will remember that preferred stock dividends are not included in net income or net loss but they are considered in calculating per share amount. Adjusted EBITDA for this quarter was $201 million, or 4.4% of revenues, an increase of $19.6 million from the prior year. The extra week for last year’s fourth quarter contributed approximately $15 million to adjusted EBITDA. Excluding that extra week means the current year’s fourth quarter increased $34.6 million. The increase was primarily due to the increase in revenue and the resulting gross profit, an increase in the gross margin rate, and the improvement in the ratio of expenses to revenue. The schedule attached to our press release reconciles our net income to our adjusted EBITDA. Now let’s turn to the cash flow statement. Net cash provided from operations for the quarter was $126.4 million versus $80.4 million in last year’s quarter. The $46 million increase was primarily due to the increase in adjusted EBITDA and the changes in the timing of payments for rent and income taxes relative to our quarter end. I want to spotlight just a couple of items in this section of the cash flow statement for the current quarter compared to the prior year quarter. The amount of money received from insurance losses decreased. The decrease in inventory, net of the changes in accounts payable, was a little less than the prior year, primarily due to the timing and amount of pharmacy product buys. The difference in the prepaid amounts was due primarily to an increase in the amount of current deferred tax assets, and the difference in income tax amounts was due to the timing difference of tax refunds and payments. Continuing on, net cash used in investing activities for this quarter was $104.4 million, versus $98.9 million for last year’s quarter. The increase was primarily the result of capital expenditures being higher than last year, partially offset by higher proceeds from sale and leasebacks. For the quarter, we spent $110.5 million for property, plant and equipment; $5.5 million for prescription file purchases, for a total of $115.9 million of capital expenditures. We had a very busy quarter for store development activities. During the quarter, we opened 19 stores, relocated 32, and closed eight. No stores were remodeled during the quarter. Also during the quarter, we spent $18.4 million related to the pending Brooks Eckerd acquisition, and had $23.9 million of proceeds from sale and leaseback transactions. Net cash used in financing activities for this quarter was $64.3 million versus $10.6 million for last year’s quarter. The increase in cash used in financing activities was primarily due to required principal payments and to refinancings we completed in February, including the fees related to the refinancing. The refinancing in February consisted of the issuance of $500 million of 7.5% secured notes and $500 million of 8.625% unsecured notes, the proceeds of which were used to redeem the 9.5% secured notes and pay the related call premium and fees, and reduce borrowings under the revolver. Our liquidity continues to be strong. The availability on the revolver at year end is over $1 billion. At the end of the quarter, we had $300 million outstanding under our $1.75 billion senior secured revolving credit facility. We also had outstanding levers of credit of $117.1 million at the end of the year. The $400 million accounts receivable securitization agreements continued to be a good source of liquidity. At the end of the year, we had utilized the securitization agreements for $350 million. Total debt since the beginning of the fiscal year increased $49 million and advances from the sale of accounts receivable increased by $20 million. The combined balances since the beginning of the fiscal year increased the net $69 million. Although there were a lot of components, the increase was due to the increase in capital expenditures and timing of sale and leaseback activity related to the new and relocated stores, and the integration related capital expenditures we initiated in the fourth quarter in anticipation of the Brooks Eckerd acquisition close. That takes care of historical comments. Let’s talk about guidance. We expect to close on the acquisition of Brooks Eckerd, as Mary said, by the end of May, and are providing guidance for fiscal 2008 that includes the acquired operations for nine months. Also included in our guidance are estimates for the lost gross profit from lower Medicaid reimbursement rates that are expected, and the withdrawal of three fairly significant generic products; Albuterol, Oxycodon, and [Cotrigerol]. The full year effect of the new and relocated stores opened in fiscal 2007, and the opening of approximately 125 additional new or relocated stores, are also included in our guidance. As far as the acquisition is concerned, our guidance is based on the following acquisition-related activities and measures: the conversion and integration of the six distribution centers is expected to be completed by the end of the second quarter; completion of the 23-store pilot project that Mary mentioned, which includes systems conversions and repainting, redecorating and remerchandising, is expected to be completed shortly after the second quarter; the conversion of the compensation and payroll system for all Brooks Eckerd associates will be completed by the end of the second quarter; converting to a common weekly advertising circular will commence during the second quarter; placement of Rite Aid Private brand products and removal of the old private brand product will be completed by the end of the second quarter; completion of the store system conversions is expected to be done by the end of fiscal 2008 and, as Mary mentioned, because of the holiday season, we will not complete the painting, redecorating and remerchandising for all the stores by the end of fiscal 2008. Instead, approximately 50% of the stores will have been repainted and redecorated, and the layout reset by the end of fiscal 2008. Almost all of the remaining 50% of the stores will be repainted, redecorated and remerchandised by the end of the second quarter of fiscal 2009. We are estimating fiscal 2008 sales, including the acquired operations, to be in the range of $25.3 billion to $26.0 billion. Same-store sales guidance, which does not include the acquired stores, is 3.8% to 5.8%. We are estimating fiscal 2008 adjusted EBITDA to be in the range of $1.0 billion to $1.125 billion. Our guidance reflects the fact that the acquisition is expected to close by the end of our first quarter and that fiscal 2008 will benefit from an increased number of new generic drugs, the timing of which is not always exact, partially offset by the generic withdrawals I mentioned. Fiscal 2008 guidance also reflects our estimates of the effect of the planned timing and number of new and relocated stores. Finally, we have included in our fiscal 2008 guidance estimates of the expected negative impact from Medicaid reimbursement rate reductions. Our guidance includes acquisition-related cost savings of approximately $155 million for nine months of the acquired operations. The acquisition-related cost savings have increased from our original estimate, primarily in two areas. First, the component of gross profit improvement has increased, primarily due to more accurate information, and second, the amount of lost operating results from stores we are required to divest has increased due to discussions with the Federal Trade Commission staff and the federal state attorney general. Our guidance for fiscal 2008 and our accretion estimates for 2009 do not include all of the expected benefits from the acquisition. By that I mean we still have not included in our guidance improving the front end sales productivity of the Brooks Eckerd stores, which are still approximately 35% less productive than nearby Rite Aid stores. We have not also included achieving additional purchasing scale, nor have we included in our guidance improving the Brooks Eckerd generic dispensing rate, or improving shrink at Brooks Eckerd, or rationalizing the store base or finally, optimizing the distribution centers. We are estimating our operating results for fiscal 2008 to be a net loss between $47 million to $129 million, or a loss between $0.11 to $0.23 per diluted share. The net loss estimate includes acquisition-related integration expenses of $145 million. Attached to our press release is a table that reconciles our adjusted EBITDA guidance to our guidance for net loss. Capital expenditures before sale and leaseback proceeds, which includes the continuing new and relocated store program and integration capital expenditures, are estimated to be in the range of $825 million to $875 million for fiscal 2008. We estimate sale and leaseback proceeds to be approximately $100 million. We are not in a position to provide you detailed guidance for fiscal 2009 relating to sales, adjusted EBITDA, or operating results or per share results. However, we are in a position to give you guidance in the amount of cost savings and integration expenses that are expected in fiscal 2009. We estimate cost savings to be approximately $225 million and integration expenses to be $60 million. The net impact of these items and the absence of integration related closed store and debt modification charges after the tax effect is accretion of $0.18 to $0.20 per diluted share. The last topic for guidance is the financing for the acquisition and liquidity after the acquisition. As you all know, the Jean Coutu Group have reached a settlement agreement with a majority of the 850 million 8.5% noteholders, and is tendering for the remainder. Therefore, Rite Aid will not be assuming the notes. At closing, we will pay the Jean Coutu Group $2.3 billion in cash and issue 250 million shares of common stock. We expect to finance the $2.3 billion of cash plus transaction costs with three sources. The first source will be a $1.105 billion term loan, which after we file financial statements, including the acquired subsidiary, will have a first lien on the same collateral as our existing senior secure credit facility, and the guarantee of almost all of the subsidiaries, including the acquired subsidiary. The second source of the cash will be approximately $1.2 billion of notes. The notes may be secured or unsecured. The mix will be determined by market conditions at the time of closing. The new secured or unsecured notes -- the new secured notes, if they are issued, will be secured after we file the financial statements, including the acquired subsidiaries, by a first lien on the equity interest of the acquired subsidiaries and will have the guarantee of the same subsidiaries guaranteeing the term loan and the other secured notes. The new unsecured notes, which may or may not be issued, will have the same guarantee of the other guaranteed unsecured notes. The third source of our funding will be a draw on the revolver. After closing and filing the financial statements that include the acquired subsidiaries, we will have close to $1 billion of availability of our revolver, which supports our business plan and is adequate liquidity. This concludes my prepared remarks. Now I will turn it back to Mary for the wrap-up. Mary. 
Mary F. Sammons: Thanks, Kevin. In summary, this was a milestone year for Rite Aid in two very important ways. First, we turned around our pharmacy business with solid same-store sales increases and script count growth and second, we reached agreement to acquire Brooks Eckerd, an historic milestone given where this company was only a few years ago. We have put together an extensive integration plan while at the same time we continue to improve core Rite Aid. We added new customers by expanding our Living More and our health condition marketing programs, improving customer satisfaction, developing new managed care relationships focusing on Medicare Part D patients, and continuing our new store development and file buy growth initiatives, and we did a great job of controlling expenses while we grew our business. This focus on core Rite Aid will not change because of the Brooks Eckerd acquisition. We have taken steps like keeping the acquired stores under separate field management for the first year of operations to make sure our team continues to concentrate on improving the base business at the same time we execute a successful integration. Our six critical priorities are the same for fiscal ’08 as for ’07: growing prescription sales and counts; increasing front end sales; improving customer satisfaction; spend management; operational execution; and recruiting and retaining talent. We believe these are the right initiatives to continue to add customers and raise store productivity. Of course, we have added a seventh priority; a smooth and successful integration. We believe we have the right plan in place to accomplish that and are ready to hit the ground running. Operator, we are now happy to take questions. 
Operator: (Operator Instructions) Your first question comes from Meredith Adler with Lehman Brothers. 
Meredith Adler - Lehman Brothers: I have a few questions for you. One is to talk a little bit about the synergies that are not actually quantified yet. I am just trying to understand what you need to find out to know what the number would be and how long would it take for you to realize some of those synergies? 
Mary F. Sammons: Meredith, let me tackle that one. Remember, we are going to be going through the conversion and integration over a course of 16 months, and so stores will be in varying stages of getting the complete merchandise mix, and even though we are going to be going to a common ad program in the July time period, it is still going to take time to make sure that you can run full product assortments everywhere. So that is part of the piece there. Again, it was important to us that we would be talking about synergies that we are highly confident in delivering. We will, within I would say the next number of months, be able to quantify a little bit more relative to our store rationalization. We are well into the process of what we need to do there. We had to really wait through the FTC discussions and so we should, in a short period of time, be able to give you more guidance in that particular area. Those are two of the big ones, and then rationalizing the distribution network, that’s what will follow the store decisions and also the decisions as to where we will put new and relocated stores for the future, because that will really sort of flesh out our map of where we are going to be as we move forward. The same kinds of factors that affect sales numbers also affect improving the shrink and improving the generic dispensing because again, those kinds of things take a little bit more time but those are all added pluses to what we can deliver bottom line. 
Kevin Twomey: Meredith, this is Kevin. Let me clarify something. It was pointed out to me that I may have said something wrong. The $155 million of cost savings basically is greater than what we had previously disclosed for, as I mentioned, two reasons; primarily the gross profit improvement and then I think I said increase. I should have said decreased lost EBITDA from the stores that we have to divest, so I just want to make sure everybody understands that. 
Meredith Adler - Lehman Brothers: Okay, great. And just one other question about the process. If you are going to be doing all the work on about 50% of the stores, do you anticipate that as you are doing that work, you see some diminishment of sales and EBITDA from those stores? 
Mary F. Sammons: Meredith, first remember the systems conversion will take place in all of the stores by the end of the fiscal year, so that part of the conversion will have occurred. It is really the paint and powder process, the remerchandising that will stretch through the time period of the 16 months. In terms of sales disruption, remember we have really invested dollars in training and merchandising support in customer and associate programs to really make sure that we minimize any kind of sales loss. It is really important to us to retain the script business because that is a key core competency of Brooks Eckerd and we want to keep building on that, so we will do everything we can to maintain the continuity of the business. 
Kevin Twomey: A significant amount of the increase in the integration expenses since our original estimate is in the area that Mary mentioned, and as well as advertising. 
Meredith Adler - Lehman Brothers: I just have one final question; when we think about the amount of debt that you will have outstanding, is it fair to say that there will be -- obviously it goes up at closing date, but that the amount of debt will continue to go up over the course of the year and actually through that 15 months of conversion, because you will be borrowing to do those conversions. Is that the right way to think about it? 
Kevin Twomey: It is, Meredith. As we have said, and we look at not just a dollar amount of debt but also our leverage ratio. In other words, how it relates to our operating cash flows and the leverage ratio today is about 4.8 before the acquisition. After we complete that first year with all of that integration, capital expenditures and the cost savings are not in there for a full year, but just still ramping up, it will be somewhere in the neighborhood of about 5.5. But once we get through those integration capital expenditures and the integration expenses, and we have the full benefit at a run rate of our savings, we are going to probably end the year at a ratio of about 4.5, which is better than it is today before the acquisition. 
Operator: Your next question comes from Ed Kelly with Credit Suisse. 
Ed Kelly - Credit Suisse: Good morning. Congratulations on all the good news on Eckerd here. A few questions for you; you are giving comp guidance for next year. It looks like it is up. You are saying up 3.8% to 5.8%, but that looks like an acceleration from what you did in fiscal ’07, so could you talk about what the drivers are there? 
Mary F. Sammons: We should begin also seeing in this upcoming year continued benefit from all the initiatives that we have been working on, whether it is customer satisfaction, improvement programs, or our senior Living More program, but we are also going to begin seeing some benefit from our new store and relocation investment of stores that begin to also roll into the comp column because remember, we are not into our third year of the program, and so those numbers will start to come in as we get partially through the year too. Again, we have strong marketing programs in place. We expect to see some good recovery relative to our front end business and we intend to keep growing our script business. 
Ed Kelly - Credit Suisse: Can we assume that that acceleration is both pharmacy and front end? Is that the way to think about it? 
Mary F. Sammons: Yes. 
Ed Kelly - Credit Suisse: Your guidance for next year, the $1.0 billion, the $1.1 billion, now that excludes the integration costs I take it, right, that you were talking about? 
Kevin Twomey: Correct. 
Ed Kelly - Credit Suisse: Okay, and what is the assumption within that for the core Rite Aid business? 
Kevin Twomey: In the adjusted EBITDA? 
Ed Kelly - Credit Suisse: Yes. 
Kevin Twomey: We are not going to go down the path, Ed. I think everybody wants to look at what base Rite Aid business is doing and we are going to try our best to answer that question, but at the end of the day it is very, very difficult to segregate, for example, a successfully renegotiated contract and how much of that is base business versus, if you will, the incremental business. So we are really not in a position to answer that question. 
Mary F. Sammons: Obviously our comp sales that we will report will be base Rite Aid and that will also I think be indicative to you of what is happening with our core business. Like Kevin said, we will make every effort to provide you enough so you understand what is happening there. 
Ed Kelly - Credit Suisse: So qualitatively, clearly you are feeling better about the sales, and I guess you have the negative impact of Medicaid, which I am sure is factored into your guidance as well. Is there anything else on the negative side that you would highlight? 
Mary F. Sammons: Remember, Medicaid we have factored in. That goes in in July, so that is in our guidance. I mentioned and Kevin mentioned those three generic withdrawals that are going to occur sometime during the year, some of which already started, but that would be a factor relative to margin pressures. But we also have the benefit of what we have successfully been able to do relative to negotiation on prices -- 
Kevin Twomey: And some more new generics. It is kind of like all stirred in there together. 
Ed Kelly - Credit Suisse: Okay. A question for you here on Eckerd’s front end productivity. We all know that it is well below core Rite Aid, which is amazing given the fact that their pharmacy business is actually better than core Rite Aid. Could you talk a little about what are the drivers here that’s going to drive that productivity up? How long do you think it takes there? Are we right to think about it that maybe Eckerd’s front end productivity should be better than Rite Aid, given that the pharmacy business is healthier? 
Mary F. Sammons: Well, over the long term, it should because you should get the benefit of those pharmacy customers being at a greater pace. We are really looking forward to taking ideas and best practices from Brooks Eckerd in the pharmacy side over into our business, because I think that can help us grow that. But in terms of building that productivity, it will happen over the course of what we are doing, and that is another reason we have not stirred that kind of improvement into our numbers because first you have to get your merchandise mix to match up. You have to be able to run your full ad program everywhere. You have to get the customer coming into the store to shop your private brands and shop your categories. It is going to come from really the strength of not just our core drugstore categories like health and wellness but also our strength in seasonal and our ability to really put out the kinds of offerings that we have at Rite Aid. 
Kevin Twomey: It is a lot of little things, Ed. It is the private brand program. It is the GNC store within a store -- it is just how we go to market with a focus on core categories and promote anchoring and events. 
Ed Kelly - Credit Suisse: All right, great. One last question for you, just to talk about the importance of only having to close 24 stores along with the FTC process. How do we now think about the opportunity of store rationalization, sort of addition by subtraction? It seems like that opportunity now is maybe much larger than what you may have thought it was going into the deal. 
Mary F. Sammons: We are substantially through the process of looking at that but we are not really ready to release any numbers around that, Ed. But obviously the opportunity is there because of the overlap and we believe that will add some significant bottom line potential. Again, that is not factored into our guidance. 
Kevin Twomey: Some of those opportunities, Ed, are basically we want to do relocated stores and they take a little bit more time, but we still think it is a significant opportunity. 
Ed Kelly - Credit Suisse: And the state attorney general, is that a big hurtle here or is that like an afterthought? 
Mary F. Sammons: Generally, the state can add a small number of additional stores to what has to be considered. We are in negotiations with the states and we expect to have that resolved before closing. 
Operator: Your next question comes from Mark Wiltamuth with Morgan Stanley. 
Mark Wiltamuth - Morgan Stanley: Kevin, could you just delineate how your synergy targets have changed? Were your previous numbers net synergy numbers, or were those gross? It appears like you are breaking out gross cost savings and then also giving us the integration costs separately. 
Kevin Twomey: First of all, the storyline is that basically they are improved and primarily in the gross profit improvement area and the decreased lost EBITDA from sold stores. The 155 is a net number. Now, that is just nine months worth, Mark. The previous run-rate disclosed amount of 150 was a little bit different than the other one because it included about $27 million worth of the duplicative corporate administrative costs. So to some extent, it is a little bit not comparable but it is basically greater now. 
Mark Wiltamuth - Morgan Stanley: So your gross cost savings have gone up? 
Mary F. Sammons: Yes. 
Kevin Twomey: Yes. 
Mark Wiltamuth - Morgan Stanley: Okay. Also, talk about how the 2009 number changed because there you are talking $225 million in cost savings and then a remaining 60 of integration costs. Talk about how that number has changed. 
Kevin Twomey: Well, like I said, the 225 compared to the 150 is primarily because of gross profit improvement and lower or decreased lost EBITDA. As far as integration expense, we talked about increased training expense, advertising expense and several other things that we think are going to further ensure a successful integration. 
Mary F. Sammons: On the expense side there, I mentioned in my comments that it is going to take us until about the end of the second quarter to finish all the paint and powder, so you are going to have remerchandising costs and construction costs during that part of the time period, in addition to the training. 
Mark Wiltamuth - Morgan Stanley: So did the overall integration costs go up or did they just shift? 
Kevin Twomey: They went up. 
Mary F. Sammons: They actually went up and we consciously made that decision to invest additional dollars in key areas, such as the advertising, the store merchandising piece, really the retention elements of our overall costs. It was important for us because again, we wanted to make sure we do this right as we convert these stores. 
Operator: Your next question comes from Karru Martinson of Deutsche Bank. 
Karru Martinson - Deutsche Bank: Good morning. I recognize that you do not want to break out the number of stores that you are going to be closing, but I was kind of wondering in terms of timing here as we go forward, are we going to see these closures start to happen right away or is this going to be as we go through this pilot program and beyond? 
Mary F. Sammons: Most of what we are looking at are going to be -- obviously consolidations and we will make every effort to do those in a very timely manner because -- but until, again, we are ready to announce it after the deal has closed, there are people that are impacted by decisions like that so we want to make sure that we are through the closing and ready to really announce it. 
Karru Martinson - Deutsche Bank: In that same vein, and the retention bonus that you talked about, Eckerd had had a bit of a pharmacist shortage. Has there been any alleviation of that, or in consolidation will you be able to offset that? 
Mary F. Sammons: We have a really strong recruiting program here at Rite Aid. In fact, we have increased field recruiting plans for next year. We are putting in our pharmacy support structure from a supervision standpoint for the Brooks Eckerd chain, so we believe any staffing issues will be quickly behind us. Again, we know those areas and we should be in good position to take care of any staffing needs. 
Karru Martinson - Deutsche Bank: Changing gears a little bit, in terms of your scripts, what percentage today is Medicaid? 
Kevin Twomey: Medicaid for base Rite Aid is 10.7 for the year of pharmacy sales. That is dollars, and for the fourth quarter it was 10.4. I believe Brooks Eckerd Medicaid dollars is somewhere around 7%, so on a combined company basis, that’s going to be about 9.5% of pharmacy sales. 
Karru Martinson - Deutsche Bank: And with the Medicare D being anniversaried, you are not expecting to see major shifts of that number, are you? 
Mary F. Sammons: No, it should stay pretty much the same, although we are going to continue to be aggressive in this area of getting more seniors. We have had really strong growth in the customer segment that is just below the segment that reaches Medicare, so that should help our business on a go-forward basis. 
Operator: Your next question comes from Carla Casella with JP Morgan. 
Carla Casella - JP Morgan: Kevin, you talked about the new notes that you will use to finance the acquisition, and I think in the past you had talked about doing a note that was secured by stock of Jean Coutu subsidiaries. Is that now off the table? 
Kevin Twomey: No, no, not at all. I just wanted to give everybody the idea that depending upon market conditions, I do not want to take unsecured off the table. 
Carla Casella - JP Morgan: Okay, so you could do an unsecured, but if you did, it would look like your 9.25% and 8% and 5.8’s unsecured with a guarantee? 
Kevin Twomey: Right. 
Carla Casella - JP Morgan: Or it could be guaranteed by stock of Jean Coutu subsidiaries, or could it be parry with your other guaranteed notes, the 7.5’s and the other guaranteed? 
Kevin Twomey: No. 
Carla Casella - JP Morgan: Okay, great. The EBITDA from the 24 stores that you are closing, as you said before, you synergy expectation went up by about $5 million -- 
Kevin Twomey: No, no, no, Carla -- you are comparing apples and oranges there. 
Carla Casella - JP Morgan: That’s nine months? 
Kevin Twomey: The $155 million is nine months, the $150 million was the second year, full year. So apples to apples would be like 150 or so to 225. 
Carla Casella - JP Morgan: Okay, so the amounts that you had originally said, you had $60 million for what you were calling dis-synergies, or closing stores. Do you know what that number is now, now that it is only 24 stores? 
Mary F. Sammons: It will be significantly under the $60 million that was in the model. 
Carla Casella - JP Morgan: Okay, and then just a rough calculation given your EBITDA and some of the guidance for this year. It looks like you would be free cash flow negative by a little over $500 million. Is that the amount that we should assume goes into the additional debt in 2007 before you realize all of the synergies? 
Kevin Twomey: You are talking about the end of fiscal 2008. That’s a little high, Carla. The reason is -- it is just a little high. We are going to increase the amount outstanding on the revolver between where we are at at closing until the end of fiscal 2008, but it is going to be like a couple hundred million dollars. 
Operator: Your next question comes from Karen Miller with Bear Stearns. 
Karen Miller - Bear Stearns: Good morning -- good results. To circle back on the cost savings, how should we think of it if the 155 in the nine months and then the 225 is your full run rate in ’09, is that correct? 
Mary F. Sammons: Yes. 
Karen Miller - Bear Stearns: Okay, and then in terms of the expenses, that 145 of costs in ’08, it is an additional $60 million of costs in ’09? 
Mary F. Sammons: That is correct. 
Kevin Twomey: Not additional, no. The total integration expense in fiscal ’09 is 60. 
Mary F. Sammons: Correct. That was your question, correct? 
Karen Miller - Bear Stearns: So should we think of then net impact, a beneficial impact of $165 million in ’09, or take the incremental, the 225 minus the 155 and then take the 60, and that is your incremental? 
Kevin Twomey: Yes. 
Karen Miller - Bear Stearns: So we should think of it that way? 
Kevin Twomey: Yes. 
Karen Miller - Bear Stearns: So the 145 of costs is just exclusive to ’08 and the $60 million is additional in ’09? 
Kevin Twomey: You say that in a way that kind of confuses me, Karen. If you want to look at the change between what is in 2008 and 2009, the cost savings is $155 million in 2008 and $225 million in 2009, so that is a delta of 70, and the integration expense is 145 in 2008 and 60 in 2009, or a delta of 85. So my net improvement is $155 million, just coincidentally. 
Karen Miller - Bear Stearns: Year over year? 
Kevin Twomey: Yes. 
Karen Miller - Bear Stearns: Okay, that’s very helpful, thanks. Secondly, you talked about you expect better comps this year because of the new and relocated stores. Could you give us any indication of how much better, now that you are three years into the program, how much better perhaps in terms of comps the new and relocated stores are running versus the whole company wide average? 
Mary F. Sammons: We are not breaking that out as a separate number but before we make a decision to build a store, we have an IRR that we build on that store location and we are pretty much right on hitting our numbers on our stores. So they are a big investment and we are going to make sure that they really pay off for us, so we are very careful of where we are putting them. 
Karen Miller - Bear Stearns: I know, Kevin, you have gone over this with me before but you had mentioned that the relocated stores typically ramp up more quickly than a new store. Is that still true and could you give us the timing on that? 
Kevin Twomey: Yes, it is and it is probably on average about a year-and-a-half, where their contribution to our EBITDA is equal or greater than the store that they replaced. Sometimes there are some that might take up to three years but that is rare. Their sales growth continues in a very strong double digits for up to five years or more. 
Karen Miller - Bear Stearns: And then a new store, that takes about three years to fully ramp up? 
Kevin Twomey: On average, they will reach -- if you are talking about sales growth versus contribution to EBITDA, you have two different answers, Karen. On sales growth, a new store even after five years is still not mature but it is going to continue a bit longer in contribution of sales growth than the relocated stores. As far as the impact on EBITDA, a new store has a negative impact on average for about three years, but it could be five years. 
Operator: You have a follow-up question from Meredith Adler with Lehman Brothers. 
Meredith Adler - Lehman Brothers: I just want to clarify something. I have a feeling people are trying to net out the run-rate of synergy versus the total amount of one-time costs, but those synergies are going to be a permanent increase in your cash flow, so if I were really doing a comparison, I might want to take the present value of the synergies and then net out the one-time costs? 
Mary F. Sammons: You are right on. The one-time costs are going to be gone after we get through these next number of months, a 16-month time period, and then really we are going to be at the full run-rate of synergies without that. And also any benefits from the synergies we have not identified yet. 
Meredith Adler - Lehman Brothers: Great. That’s all I wanted to clarify. Thanks. 
Operator: Your next question comes from John Heinbockel with Goldman Sachs. 
John Heinbockel - Goldman Sachs: Just a couple of things. Do you think pharmacy gross margin as we move forward this year will be up or down when you net out all of the things we have talked about? 
Kevin Twomey: Generally speaking, the gross margin rate will be down. 
John Heinbockel - Goldman Sachs: Just for pharmacy alone? 
Kevin Twomey: Yes. 
John Heinbockel - Goldman Sachs: What have you modeled in from Medicaid, because it is still not clear if that is ever going to go into effect? 
Mary F. Sammons: Well, we have modeled in, John, the impact of it hitting in July. If it does not roll in in July or it rolls in in a different version, that will be an upside to what we have in our numbers. 
John Heinbockel - Goldman Sachs: Have you had anymore dialog with CMS since some members of congress have come out against this, that maybe it is not going to be as bad as we think or it is going to get pushed back indefinitely? Is there any sense of that? 
Mary F. Sammons: Nothing that I can speak to with any certainty. I think there are still ongoing discussions but we certainly have not seen anything come from CMS that says they are going to do anything different yet. 
John Heinbockel - Goldman Sachs: Okay, and on the comps guidance for ’08, the comps script number, I assume you are building in further improvement from the 1.5, I guess it was 2% for the year, but from the 1.5 in the fourth quarter, that there should be decent improvement in that number in this next year, correct? 
Mary F. Sammons: Yes, there is. 
John Heinbockel - Goldman Sachs: Finally, in the CapEx number that you have, how much of the 450 for Eckerd is in the 825 to 875? 
Kevin Twomey: Just about all of it. The variability is all in the Rite Aid side. 
John Heinbockel - Goldman Sachs: Okay, so most of the 450 is in that number, so the core I guess then is you are looking down just about $400 million in core? 
Kevin Twomey: Yes. 
John Heinbockel - Goldman Sachs: And that number should be pretty steady going forward? 
Kevin Twomey: Well, after the Brooks Eckerd integration, John, so you are not looking at a 5,000-plus store chain, you are probably at a run-rate of around $575 million to $600 million, if you wanted to model things that way. 
John Heinbockel - Goldman Sachs: Just one last thing; where do you guys stand now with the in-store clinics? How much rollout will we see in ’07 and ’08, or ’08 and ’09? 
Mary F. Sammons: We have not set a specific number out there, John, but we have some very successful partnerships going with Lindora in Southern California, with Better Health in Northern California. We are about to announce a couple of others but our strategy is a little different than some of the others that have been announced out there, in that we are really looking to partner with local known experts in the healthcare arena in the areas that we operate because we believe that knowledge by the customer of those folks is going to go a long way to getting more business into the stores and have something that has a sustainability instead of something that may not work for the future. 
John Heinbockel - Goldman Sachs: Do you think your execution will be better than the national guys? 
Mary F. Sammons: Yes, as they are already experienced in this and they know the healthcare business. If you run into kind of issues, generally it is with the staffing pieces of it and it is for the credibility issues with the customer, so we feel that the partnership arrangement with the local experts is the way to go. 
Kevin Twomey: John, this is Kevin. I wanted to clarify one thing. When you said the CapEx for the integration of 450, were you talking about all integration expense or were you talking just in fiscal 2008? 
John Heinbockel - Goldman Sachs: Just the 450 that is apart from -- you have expense that is going to run through the P&L, and then capital costs relating to the integration, systems, retrofits, and -- 
Kevin Twomey: I might be confusing you, but the integration, remember, straddles fiscal 2008 and 2009, so over both of those periods of time we are looking at integration expense of about 450 to maybe, if we have to, 500. But the part that is in fiscal ’08 is about 350. 
John Heinbockel - Goldman Sachs: All right, so that’s in the 825 to 875, so core Rite Aid is actually a little higher. It is probably more like $500 million, right? 
Mary F. Sammons: Yes. 
Kevin Twomey: Yes, sorry for the confusion. 
Mary F. Sammons: Operator, we will take one more question. 
Operator: Your next question comes from Mark Husson with HSBC. 
Mark Husson - HSBC: Good morning. I just wanted to ask about the competitive environment, given that your comp store sales are still running below that of your competition and people like Walgreen’s are opening up 500 stores a year. Can you just talk about first of all the promotional environment and whether that is still as hot as it was? Secondly, talk about Brooks Eckerd. Even CVS had some problems, decelerating into the deal, and I noticed that front and back end are both negative right now in the U.S. What can you do about, first of all, the competitive environment and then making sure Brooks Eckerd does not really decelerate further? 
Mary F. Sammons: I want to clarify one thing that you said to start your conversation, Mark, and that had to do with our comp sales today relative to the competitors. Remember, they also have the benefit of pretty significant numbers of new stores opening over the last number of years, where our program has just started to ramp up, so we will begin to see benefits from that too over the next few years. In terms of promotional environment, people are going to do things. It’s the nature of the beast. When something like what we are doing is going on, there will be promotional efforts I’m sure by competitors to attempt to disrupt our business. That is why we are investing in our own programs relative to marketing as well as what we are doing from a store level side, to make sure that we keep our customer base intact. I do not think on just an overall view that the promotional environment has gotten that much worse out there. I think it is pretty much what it has always been for people but most competitors look to take advantage of things that happen out there. As far as disruption in the stores, again I will go back to the investment we are making and the time we are taking to do this. We are not going in and just ripping the store apart. Our phased approach is key to maintaining continuity of the business so that we keep our customers. That is critical to our plan. That is why we are going to take 16 months to complete it all instead of trying to do it all by the end of the fiscal year, and why we are going to do it in two phases with systems first, followed by the paint and powder. So we are going to keep the sales deceleration to a minimum. 
Mark Husson - HSBC: And then, just on the CVS/Caremark, I think it was something like eight years ago, right, they had actually bought PCS. I obviously think the combination of the PBM and retail is a good idea. CVS/Caremark, obviously they are saying they would like to take share. They have not specified front-end, back-end. What do you think of the competitive threat that might exist out there now? 
Mary F. Sammons: Well, I think it is a little too early to tell what is going to happen there but we will certainly be watchful of it. I think any kind of dramatic change like that is a business model bears watching, so we will keep our eye on it and we will decide in the future what we want to do relative to that. 
Mark Husson - HSBC: A final question then, just on the brands that you have. One of the previous questioners had talked about the strength that Brooks Eckerd had in pharmacy. Have you compared the brand characteristics of Rite Aid to the other two brands? What are the strengths and weaknesses and what do you have to be mindful of as you change the brands over? 
Mary F. Sammons: Well, in terms of -- remember we overlap in 70% of the geographies, so we know the customers in the area. We know the kinds of things that they buy. We also did a lot of customer research early on in this process in terms of talking to customers of Brooks stores, talking to customers of Eckerd stores. So we know what they like. We also know what they don’t like and we are going to make sure that the things that they like, we keep or improve and that the things that they found as negatives, we do something about. We believe giving them our full assortment on top of that will really take care of any kinds of issues relative to any brand differential there. The customer overall said they are willing to give us a chance to serve them and satisfy them. They are not so wedded to a particular name. 
Mark Husson - HSBC: I am guessing that Rite Aid has to do some comforting on the expectation for pharmacy execution, certainly against the Brooks Eckerd guys. Is that some -- how do you do that? 
Mary F. Sammons: I’m not sure what you are -- you said comforting? 
Mark Husson - HSBC: I think that people’s expectations for pharmacy service in Brooks Eckerd is probably higher than it is at Rite Aid. 
Mary F. Sammons: I think the customers’ expectations for services in pharmacy is high everywhere. That is why we invested $40 million in pharmacy technology and why we had a solid customer satisfaction improvement initiative over the last three to four years, and I think that is paying off for us. I think again, that is our number one critical priority, is that growing prescription sale and we will continue to really focus on it. It comes down to improving the experience and we are going to give our pharmacists the tools to do it. I mentioned in my comments that we are increasing the amount of technician support even in the Brooks Eckerd stores because we support our pharmacists with a higher level of technician support than they do, so we can even improve that there for them. 
Kevin Twomey: Thanks, everybody. Have a good day. 
Operator: Thank you. This concludes today’s Rite Aid fourth quarter conference call. You may now disconnect.